Operator: Good morning, my name is Michelle, and I will be your conference operator today. At this time, I would like to welcome everyone to the Copper Mountain Mining Corporation First Quarter 2021 Earnings Conference Call. All lines have been placed on mute to avoid any background noise. After the speakers' remarks there will be a question-and-answer session.  Please note that comments made today that are not of a historical factual nature may contain forward-looking statements. This information, by its nature, is subject to risks and uncertainties that may cause the stated outcome to differ materially from actual outcomes. Please refer to slide two of today's presentation and Copper Mountain's first quarter 2021 Management's Discussion and Analysis for more information.
Gil Clausen: Thank you, Operator. Good morning, everyone and thank you for joining us. Starting on slide three, as you can see, I have with Rod Shier, our Chief Financial Officer; and Don Strickland, Copper Mountain's Chief Operating Officer. I'll begin by providing a brief update and summary of the quarter. Rod will speak to our financial results, followed by Don who will provide a more detailed discussion on our operation and ESG initiatives. I will conclude with an exploration update and our outlook. Then I'll open the call to questions. Turning to slide four, we started the year in a strong position, posting quarterly record production for the second quarter in a row. We also achieved record quarterly C1 cash cost, revenue, and gross profit. All of our other financial metrics also increased significantly in the first quarter year-over-year. Grade was the main driver of our production performance as we mined a higher proportion of ore from Phase 3 of the main pit, which has higher grade. We increased ore tonnage from Phase 2 in the second quarter, which has lower grade, but it also has a lower cost per tonne as the ore and waste cycle times are much shorter. Don will get into that in more detail, and he'll talk about our development and mine sequencing plan. As a result of our strong production in the first quarter, we expect to achieve the upper-half of our production guidance range of 85 million to 95 million pounds of copper this year. Notably, subsequent to the quarter end, we closed a US$250 million bond financing, which is game-changing for Copper Mountain. Not only does this simplify our debt structure, but this financing eliminates the current debt and its restrictive cash waterfall. It allows us to access 100% of the mine's consolidated net cash flow, giving us the flexibility to invest in our growth projects at the company's discretion. I'll now turn the call over to Rod, who will go over more detail on our financial results.
Rod Shier: Thank you, Gil. Turning to slide six, as noted by Gil, the mine had an extremely strong first quarter that included record sales of 27.5 million pounds of copper, a little over 8,500 ounces of gold, and 162,000 ounces of silver. Revenue for the first quarter was a record $162 million, net of pricing adjustments and treatment charges. This was based on an average copper price of US390 per pound copper, as compared to US258 per pound copper for Q1 2020.
Don Strickland: Thanks, Rod. Starting on slide 10, as Gil and Rod have stated, the mine achieved another record quarter. We continue to advance Phase 3 of the mine plan, which provided higher grade mill feed, approximately 79% of ore supply was from Phase 3 during the quarter, with the remainder from Phase 2. The Phase 3 higher grade is the basis of the higher production, and is planned to be the main ore supply for the remainder of the year. Page number three, we will continue to provide supplemental mill feed for the remainder of the year at a slightly higher percentage than Q1 and moderate the mill feed grade a little more than Q1. 4.2 million tonnes of waste was moved from Phase #4 during the quarter accounting for 35% of waste movement. Page number four, we will provide about 10% of the mill feed in 2021 weighted towards the second-half of the year and will be the main ore supply in 2022. 2.2 million tonnes of waste was moved as part of the one km trolley ramp construction. This will provide a straight haulage ramp to the bottom of the main pit to the primary crusher for the next 15 to 20 years of the mine life. This haulage ramp modification will improve mine efficiency and operating cost outside of the trolley project which we will discuss in more detail later. Overall, the mine operation delivered a great quarter executing the long-term mine plan. Turning to slide no. 11, the mill delivered record production during the quarter, producing 25.5 million pounds of copper. This is 10% above the record production achieved in the last quarter, which continues to demonstrate the strength and flexibility in our production plan. We did slow the mill down at times during the quarter, while processing very high grade ore, focus on recovery, and balanced mill tonnage with copper concentrate filtering capacity. The team pushed the concentrate filtering production to record levels and continue to make minor adjustments in the flotation circuit to achieve the production level. Our longer-term plan as outlined in our 65,000 tonnes per day pre-feasibility study includes installing an upgrade concentrate thickener and installing an additional concentrate filter press. The concentrate thickener upgrade in planned this year and is well advanced. It will be in fruition in early Q3. We are also advancing engineering design for installation of the second concentrate filter press. This will allow the mill to run higher mill tonnage rates without loading concentrate handling area when processing higher grade ore.
Gil Clausen: Hey, thanks, Don. In addition to the projects we are advancing, we're also investing heavily in the ground. So, please turn to slide 17. We've commenced drill programs both in BC at the Copper Mountain Mine and in the Mount Isa region of Queensland, Australia. In BC, our drill program for the year features approximately 20,000 meters of diamond drilling, and are focused mainly on expanding reserves and resources at New Ingerbelle, and the Copper Mountain North Pit, both deposits have a significant inferred resource beyond our current pit bottoms and we intend to drill and upgrade these resource and explore for extensions of our deposits. Turning to slide 18; in Australia, we have mobilized the exploration team and have commenced a regional exploration program focused on what we've named the Cameron Copper Project. The Cameron Project is located about 40 kilometers south of our Eva Development, and it has a number of high potential copper gold targets.
Operator:  Your first question comes from Orest Wowkodaw from Scotiabank. Your line is open.
Orest Wowkodaw: Hi, good morning. Gil, I think previously you had talked about concluding sort of a strategic review on Eva by the second quarter, i.e., whether you plan to proceed alone or with a partner. Is that -- can you give us an update there. And it sounds like perhaps you're not leaning towards go it alone. Is that the right way to interpret this?
Gil Clausen: Well, I guess we had been somewhat purposefully vague. But I would suggest that both management and the Board are quite excited about our growth potential the company. There is -- that I think the financing we did in terms of the bond restructuring was a significant one in order to be able to give us the flexibility to be able to execute on our growth initiatives on our own. I wouldn't say we've 100% ruled out other opportunities that may come our way, but that certainly development of Eva is our preferred alternative. And as we mentioned in the call, Orest, we're actively engaged in putting together a project in our traditional non-recourse type project financing for Eva. And now, with this financing that we concluded in the first quarter, we have the ability to fund the equity with cash from operations. So, a construction decision will be made in the fourth quarter, and on our base case. And we will be giving more clarity to the market on that at that time. I would say that the capital cost -- the final capital cost estimate and that project financing are going to be important items for the Board to consider. And the detailed engineering that we're engaged in right now is really just tying down that detail on the capital so that we can inform the financing numbers for the project financing, and also the timing for cash flows over the next couple of years.
Orest Wowkodaw: Thanks, Gil. And just as a follow-up, and this, I realize the work is still ongoing, but are you seeing inflation on the capital estimate for Eva at this point?
Gil Clausen: We're seeing a little bit, but nothing significant. There's that you're seeing some in concrete and a little bit in steel. Actually, domestically sourced material in Australia, it's typically cheaper to get Asian-sourced steel, for instance, into the Australian market. But domestic steel is actually lower cost. And so, although we're seeing some pricing pressures, it's not hugely material. I mean, the biggest impact will just be the exchange rate differences that we had from the time we did the feasibility study to-date, but we're still looking at a project financing that's in, I think we've guided somewhere in the $400 million to $450 million. It might be $420 million to $470 million in terms of what we're thinking about in terms of a project, but we'll know better when we get the detailed estimate done.
Orest Wowkodaw: Thanks, Gil. And just a quick clarification for Rod, just on the Copper Mountain mine, you're -- I think you spent $9 million on deferred stripping in Q1, I think that was the annual guidance -- their previous annual guidance. Does that suggest that you're going to be expensing all stripping for the rest of this year?
Rod Shier: No, Orest, unfortunately this is a requirement under IFRS. It's not a company choice or option. And as we've mentioned before, our strip ratio in the main pit is 2.25. And if we pop our head above that, we have to normalize that. So, we're still guiding. We're guiding still in that US$10 million to US$15 million deferred costs for the year, including Q1.
Orest Wowkodaw: Okay. Thanks, Rod.
Operator: And your next question will come from Bryce Adams from CRBC. Your line is open.
Bryce Adams: Hi, good morning all. Thanks for taking my questions. I have three of them. First one is on copper recoveries, on the current mine plan from here through to year-end, what recoveries are you projecting? And are they stable in and around the Q1 level?
Gil Clausen: Don, you want to take that one?
Don Strickland: Sure. Yes, we're certainly expecting the recoveries to remain for the next couple of quarters until we commission Ball Mill 3. And then we'll be seeing an increment in recovery as we commission Ball Mill 3 at the end of Q3.
Bryce Adams: Yes, okay. My second question is on a copper puts that was subsequent to Q1. What's the go-forward strategy for that program? And can you comment on the expense to put on the current puts?
Gil Clausen: I think as Don alluded to -- Rod alluded to rather that we add a cost of about $0.029 per pound impact on putting those puts in place. So, we view this thing, we view putting on the puts is equivalent to buying insurance, where we set a floor for the copper price at $375 million by acquiring these puts. We don't anticipate the copper price to drop to this level, but we view it as prudent insurances. We will be generating some significant cash flows and we want to be able protect those cash flows to advance our growth plans. I think those costs are quite reasonable, and we would probably consider extending this program as we move through the year. It's a decision that we discuss with our Board when we look at risk mitigation, whether it's on the revenue side or risk mitigation anywhere else in our business.
Bryce Adams: Okay, thanks. And apologies, I missed that $0.029 data point. Last question may be expands on one of ours, strip ratio of 3.5 in Q1, that's up over the recent periods. Is that opportunistic, given the higher grade, and then the concentrate production volumes? If yes to opportunistic stripping, do you expect that to reduce through the year as the grade normalize?
Gil Clausen: A lot of the stripping as Don was saying was associated with starting Phase 4 of the next pushback of the main Copper Mountain main pit. And we moved -- sometimes we do -- in the past we've done some great optimization, you'll see some stockpiling of low grade, so we're mining more ore. And we're still advancing our development plans, our stripping ratios maybe a little lower. This quarter with the higher grades we're basically milling everything that we produced, and we are in fact stockpiling some high grades. So, we weren't really significantly increasing the low grade stockpile. So, we mine a little less ore than we normally would. That's another reason why the stripping ratio was a little higher, but the tonnes of waste moved in the period it was right on plan. So, we mined a little less ore because the grade was high. We know more that wouldn't mind. So, I guess that's a long answer to a short question, but I would anticipate that our development plans for the Phase 4 pushback and stripping in the rest of the year is going to be on plan, on target.
Bryce Adams: Okay, thanks a lot. That's it for me. I'll jump back in the queue. Cheers.
Gil Clausen: All right, Bryce. Thanks.
Operator: Your next question will come from George Topping from Industrial Alliance. Your line is open.
George Topping: Great, thank you. Hello, everyone. Gil, on the Cameron Copper, historical drilling there, can you give us some more color on kind of grades were you seeing, thicknesses that sort of thing? And I'll follow-up after that.
Gil Clausen: Yes, there's actually a slide on our Web site on Cameron that shows some of the drill results. They're all very shallow. But they're typically, there have been some 20, 30, 40, 50 meters of one, two and a half percent copper and in some shallow or sea drilling on surface in some areas. Most of the work that we have of any size there George in that deposit area is a result of the surface Geochem work that we're doing, it was not drilling results, but the surface Geochem and the geophysical work that we have there that's provided these outstanding targets. And I think it's important to note that if you looked at our existing exploration, our existing mine development of Eva and you overlaid the Geochem footprint, the Geochem surface footprint on the ultimate resource, it's almost 100% match. So these deposits express themselves on surface, and it's easy to pick-up the signature of the deposit from the Geochem work and the intensity of the Geochem analysis on surfaces is representative of typically of the results that we've had in exploration. So we've got these very large Geochem signatures and Geophysical markers on the Cameron deposit. But the drilling today has been pretty shallow or sea drilling. But if you go to the website, you can see some of the drill intersections there. We're excited about this. We're going to test a few of our concepts on here. And obviously, if we get good results there, we're going to invest more heavily in the drilling program at Cameron.
George Topping: All right. Gil, is it ever been permitted or any issues that you might see if you do find something that could delay that and is the delay or not delay, but the time taken for the decision at year-end on Eva, is that in some part related to wanting to see the results from Cameron?
Gil Clausen: No, really actually, we kind of view these as separate, you're starting to get a little bit of a far distance to Eva, now if we have something of significance there, we'll have a choice, do we put another concentrator and operation there? Do we do we take ore transportation costs and enlarge what we have at Eva, but I think our view here is that, we'd be looking for another mine and at Eva, Eva is going to do, we're going to be doing more drilling at Eva, that that's going to be kind of like Copper Mountain where we build a mine. It has a good mine life. We invest in drilling. We set it up so that it's expandable in future. And I think with Cameron, we do this today as potentially being another operation. The permitting with respect to Eva, the project is development ready. And what we're doing is really spending the time now on advancing the engineering so that we can get that definitive capital estimate.
George Topping: Yes, and for Cameron, there's nothing to inhibit a similar type of permitting you would say?
Gil Clausen: Yes, no, no, no. If we do, if we're successful with our exploration at Cameron, it's going to be assessed independently.
George Topping: Okay, that's great. I'll pass it on, operator.
Gil Clausen: Thanks, George.
Operator:  Your next question comes from Stefan Ioannou from Cormark Securities. Your line is open.
Stefan Ioannou: Thanks very much, guys, great to see the quarter. Just wondering on the production decision for Eva later this year, the detailed Engineering in the interim, is there any sort of heavy lifting field work that still needs to be done for that? Or is it more just an exercise of sort of crossing the T's and dotting the I's now?
Gil Clausen: Yes, it's really getting the definition on, you're advancing your engineering so that you can get the engineering advanced to the point where you can get Some, you can get these large scopes of work, whether they are earthworks or other elements, foundation work and bulk commodity estimates refined. And our whole goal here is to do a project that is an EPCM overlay on top of large elements of scope that are well defined, so that you can get some firm pricing on various large elements in scope. And the first order of business that we're doing is that we're engaging an EPCM contractor, we'll be doing that procurement, we have an integrated team with our management team, we have a lot of project management experience in our company, and experience some project execution plans and protocols. And so we'll have an integrated EPCM team managing us. So, you got to get the engineering advanced to we'd like to see the engineering to almost 80% engineered, before we hit the field, and that when you do that, you'll eliminate project execution risk and cost risk and your opportunity or chance to be able to bring in your project on budget and on schedule is very high. So that's our philosophy of project development. So, this is really what we're doing. We're moving into the detailed engineering here right now. So we're pre-investing on that. I guess you could put it that way. 
Stefan Ioannou: Okay, great. And then maybe just a general curiosity, the shovel fence technology, so is that some sort of XRS sensor in the shovel that is basically reading the face that it's about to dig into or what it's actually scooped up? How does that actually work?
Gil Clausen: It's pretty cool technology. I'm going to turn this over to Don again. But we've been working on this for a couple of years, three years almost now. And we're really excited about it. Yes, it actually measures the grade in the bucket, so that if we're loading a shovel and it's pulling the bucket through the face, you get a grade, the shovel operator sees the graded material that's in that bucket. And it accumulates the grade, the average grade that's in that truck. And sometimes when you're mining a large waste blast or something like that, we'll have pockets of ore and know that you'd never be able to separate out normally. Now we can identify that as ore with this technology, and it'll get flagged and sent to the crusher. And so we've been having very good results with it. And we're excited about that technology, which works really, really well in our operation. But I'll let Don talk a little bit more about that.
Don Strickland: Great, I think Gil covered the majority of it there. But it really does measure, what's coming into the bucket on a bucket basis. And then we're able to -- as Gil says, to actually take the average grade of the truck and divert the truck based on the grade of the truck. And so that's actually incorporated now into our dispatch system automatically incorporated into our dispatch system to direct the truck to the crusher or to the waste dump. So it's pretty tough application. And that's why we spent a lot of time working in mine to make it robust and get a good measurement. And now we're quite excited by it. And as we change the shovel buckets out this year on our main diggers, we'll put those shovel sensor technology on those units. So it's quite exciting, and creates lot of opportunities for us as we look for certainly putting on fence and understanding what's coming into the middle mining on copper, but the additional elements at rigs may give us some opportunity to advance sort of increased timing to recover. So, it's exciting.
Stefan Ioannou: Okay, great.  makes mining. That's great. Thanks very much, guys.
Gil Clausen: Hey, pleasure. Thanks, Stefan.
Operator: I have no further questions in queue. At this time, I'll turn the call back over to presenters for closing remarks.
Gil Clausen: Hey, thanks everyone, for joining us today. Everybody, have a great day and stay healthy and safe and we'll talk to you next time. Thanks, bye.
Operator: Thank you everyone. This will conclude today's conference call. You may now disconnect.